Operator: Good day, ladies and gentlemen, and welcome to La-Z-Boy Fiscal 2020 Second Quarter Results Conference Call. All lines have been placed on a listen-only mode and the floor will be opened for your questions and comments following the presentation. [Operator Instructions] At this time, it is my pleasure to turn the floor over to your host for today Ms. Kathy Liebmann. Ma’am, the floor is yours.
Kathy Liebmann: Thank you, Jess. Good morning, and thank you for joining us to discuss our fiscal 2020 second quarter results. With us today are Kurt Darrow, La-Z-Boy’s Chairman, President and Chief Executive Officer; and Melinda Whittington, CFO. Kurt will open and close the call, and Melinda will speak to the financials midway through. We’ll then open the call to questions. Slides will accompany this presentation, and you may view them through our webcast link, which will be available for one year. And the telephone replay of the call will be available for one week, beginning this afternoon. Before we begin the presentation, I’d like to remind you that some statements made in today’s call include forward-looking statements about La-Z-Boy’s future performance. Although we believe these statements to be reasonable, our actual results could differ materially. The most significant risk factors that could affect our future results are described in our Annual Report on Form 10-K. We encourage you to review those risk factors, as well as other key information detailed in our SEC filings. Also our earnings release is available under the News & Events tab on the Investor Relations page of our website, and it includes reconciliations of certain non-GAAP measures, which are also included as an appendix at the end of our conference call slide deck. With that, I will now turn the call over to Kurt Darrow, La-Z-Boy’s Chairman, President and CEO. Kurt?
Kurt Darrow: Thank you, Kathy, and good morning. Following yesterday’s close of market, we released our second quarter results. We delivered $447 million in sales on a consolidated basis, with our largest two segments, Upholstery and Retail, turning in solid top and bottom line results. Written same-store sales across the entire La-Z-Boy Furniture Galleries network increased 3.5% for the quarter on top of second quarter increases in each of the prior three years. And delivered sales for our company-owned Retail segment increased 5%, reflecting the strength and relevance of the La-Z-Boy brand in today’s challenging home furnishings environment. Fiscal year-to-date, consolidated sales are up 4.5%, written same-store sales for the La-Z-Boy Furniture Galleries system increased 4.1% and delivered sales for our company-owned Retail segment are up 4.3%. Consolidated operating margin for the second quarter increased on both a GAAP and non-GAAP basis, led by double-digit profitability in the Upholstery segment. Also, during the quarter, we generated $34 million in cash from operating activities and returned $17 million to shareholders in dividends and share purchases. And yesterday, our Board of Directors voted again to increase the quarterly dividend to shareholders, demonstrating its confidence and our various growth strategy and long-term prospects, as we further solidify our position in the marketplace and continue to deliver strong returns to our shareholders. Before getting into a discussion of each operating segment, I want to take a moment to talk about what our brand means in this environment. Macroeconomic indicators are generally positive for the consumer, with interest rates low and consumer confidence remaining near all-time highs, both of which bode well for the home furnishings business. At the same time, however, tariffs and associated rhetoric in the marketplace continue to impact the home furnishing’s industry. But for the La-Z-Boy branded business, the 25% tariff on Chinese goods translates to just 4%, giving us a competitive advantage due to our flexible global supply chain and North American centric manufacturing. With the La-Z-Boy Furniture Galleries network outperforming other channels in this environment, we believe it’s a testament to the overall strength of the La-Z-Boy brand and how it resonates in the marketplace, coupled with our tariff positioning. To that end, we are continuing to make investments in our strong brand equity for the long-term. The relaunch of our Live Life Comfortably campaign, which included the introduction of Kristen Bell as our brand ambassador, is tracking to expectations. We recently completed the first phase of our launch, which focused on creating a strong connection between La-Z-Boy and Kristen and also showcased the range of furniture we offer. Research shows, our advertising is being recognized by consumers at a higher rate, we are appealing to a broader spectrum of consumers, and overall, there is a higher likelihood to consider La-Z-Boy. We are now moving into the second phase of the campaign that will run for the next year and will showcase our free design services and ability to perfectly meet any style or taste. Now let’s turn to our operating segments. First, our wholesale business. In the Upholstery segment on a sales increase of 1.2% to $321 million, GAAP operating margin was 10% and non-GAAP operating margin increased to 10.9%, up from 10.2%. Non-GAAP margin primarily excludes some redundant and non-recurring charges for our supply chain optimization initiative announced in August. As part of that plan, we closed our Redlands, California plant and shifted production to our Neosho, Missouri and Siloam Springs, Arkansas facilities. We were also transitioning our leather cut-and-sew operations from our Newton, Mississippi facility to our large cut-and-sew center in Mexico and believe these moves will allow us to further optimize operations and strengthen our competitive positioning in the marketplace over time. While these moves have some short-term costs associated with them, we anticipate ongoing annual savings of $4 million to $6 million pre-tax beginning in fiscal 2021. Double-digit operating margin in the Upholstery segment was driven primarily by lower raw material costs and our ability to offset other increased costs, including production inefficiencies, as we ramp up staffing and train new hires in both Neosho and Siloam Springs to manufacture all the production move from Redlands, California. Through the ongoing nature of these staffing and production costs, they are not part of the supply chain optimization costs, excluded from our non-GAAP numbers. On the merchandising side, we see continued success with our wireless remote option. The attachment rate to our power recliner orders continues to escalate. And currently, we are enjoying a 21% take rate, which we expect will continue to grow given its unique product features. The wand is sleek and stylish with various memory positions, lockout and find me features and a self-storing magnetic cradle, which consumers love. We are also seeing a significant increase in our sectional business. At last month’s High Point Furniture Market, we expanded our offerings with two new super groups, which provide for maximum dollars per square foot for the retailer. As an example, with multiple SKUs and configurations, a dealer can floor one vignette, yet sell it in multiple ways. For example, as a sofa, sectional or sleeper. With these product offerings, we are addressing consumer wants and preferences, while also addressing retailer needs. And a quick callout to our comfort care or customer service team. In Newsweek’s 2020 ranking of best customer service companies in America, La-Z-Boy placed second in the Furniture Retail category. With first place last year, La-Z-Boy is the only furniture brand to be included on the winner’s list two years in a row. We are proud of our comfort care team, as well as our partnership with a vast array of dealers, who take great care of the customer and have been recognized for their dedication and consistent focus on customer service. Turning into our Casegoods segment. Sales declined 6.3% and operating margin was 7.5% . Although the majority of our Casegoods comes from Vietnam, including all of our bedroom and dining room sales volume and operating margin for this segment were impacted by higher tariff costs for certain of our occasional tables sourced from China, and we are working to mitigate that issue by shifting sourcing locales. Additionally, during the period, we experienced delay on some goods from one supplier and shifted that business to one of our better and most reliable suppliers. Increased ocean freight costs have also affected our operating margin. Now moving on to our Retail segment. Excuse me. Our Retail segment continues to deliver excellent results, driven by improved traffic trends and continued strong execution at the store level. Sales for the segment increased 6.2% to $148 million and delivered same-store sales increased 5%, the six consecutive increase, reflecting a 4.5% compounded annual growth rate. On a GAAP basis, operating margin improved to 5.7% from 4.7% and non-GAAP operating margin increased to 5.8% from 5.4% in last year’s second quarter. Across the border store network, which includes both company-owned and dealer-owned stores, written same-store sales for the 353 La-Z-Boy Furniture Galleries stores increased 3.5% in the second quarter. The U.S. doors continue to deliver strong results quarter-after-quarter. However, full network results were negatively impacted by Canada, where written – second quarter written same-store sales declined after a rebound in Q1. Fiscal year-to-date, however, written same-store sales in Canada are slightly positive and showing marked improvement versus the prior two fiscal years. As we have said many times previously, investing in the La-Z-Boy Furniture Galleries store system remains a paramount importance, with our core consumer demonstrating a preference to shop in-store. Additionally, the stores provide the best opportunity to showcase our entire product line, provide comprehensive service and an excellent shopping experience. For the quarter, across the network, one new store was opened and two were remodeled. Projected activity for the full-year includes about 20 projects, and we plan to end the year with 357 stores, including four net new. Now let me spend a few minutes on Joybird, the e-commerce business we acquired last fiscal August. Joybird continues to exhibit fast-paced top line growth and for La-Z-Boy, it targets a new consumer through a new channel of distribution. For the quarter, Joybird delivered $21 million in sales, up 11.9% versus the prior year. The business improved its gross margin sequentially and versus the prior year by realizing certain sustainable supply chain synergies during the quarter. This translated to reduce operating loss over Q1 with a larger operating loss in last year’s second quarter as we continue to invest in customer acquisitions to drive sales growth. We are optimistic about the long-term potential for Joybird and we’ll continue to focus on striking the right balance between profits and reinvesting in the business to drive growth. We expect Joybird to be profit – positive in the fourth quarter of the fiscal year, excluding purchase accounting adjustments. I will now turn the call over to Melinda to review our most recent financials.
Melinda Whittington: Thank you, Kurt, and good morning, everyone. As always, let me remind you that we are presenting our results on both a GAAP and a non-GAAP basis. Non-GAAP results continue to exclude purchase accounting adjustments for our acquisitions, one-time charges related to our supply chain optimization initiative announced in August, and the impacts of our recent termination of the company’s defined benefit pension plan. We believe this non-GAAP presentation better reflects underlying operating trends and performance of the business. For fiscal 2020 – for the fiscal 2020 second quarter, we recorded $1.6 million pre-tax, or $0.03 per diluted share in purchase accounting charges, the majority of which related to the acquisition of Joybird, which is reflected in Corporate and Other. We also recorded a $2.8 million pre-tax, or $0.04 per diluted share charge related to our supply chain optimization initiative, which is reflected in our Upholstery segment. And in addition, this quarter, our non-GAAP results excluded a $1.9 million pre-tax income, or $0.03 per share benefit related to the company’s retirement termination of our defined benefit pension plan. In last year, second quarter, we recognized $3.9 million pre-tax, or $0.06 per share in purchase accounting charges. And as always, a full reconciliation of GAAP to non-GAAP is included in our press release and in the appendix section at the end of our conference call slides. Moving to our consolidated second quarter results, sales increased 1.8% to $447 million, led by our Retail segment. GAAP consolidated operating income was $29.6 million versus $28.5 million in the prior year quarter. Excluding purchase accounting charges and the charge for our supply chain optimization initiative, our non-GAAP consolidated operating income increase to $33.7 million from $32.2 million in last year’s quarter. Consolidated operating margin on a GAAP basis was 6.6% versus 6.5% in last year’s quarter and non-GAAP consolidated operating margin was 7.5% versus 7.3%, primarily driven by favorable raw material prices in the Upholstery segment and higher sales in the Retail segment. Additionally, as noted earlier, Joybird’s operating loss for the quarter was larger than in the prior year quarter. GAAP earnings per diluted share for the fiscal 2020 second quarter were $0.48 versus $0.42 in the prior year period. Non-GAAP EPS was $0.52 per diluted share in the current year quarter versus $0.48 in last year’s second quarter. Non-GAAP results for the fiscal 2020 quarter exclude charges of $0.03 per share for purchase accounting, $0.04 per share related to the company’s supply chain optimization initiative and a benefit of $0.03 related to the fiscal 2019 termination of the company’s defined benefit pension plan. Digging a bit deeper, second quarter consolidated GAAP gross margin increased 110 basis points versus the prior year quarter and non-GAAP gross margin increased 120 basis points. The non-GAAP adjustment for our supply chain initiative in this year’s quarter roughly offset non-GAAP purchase accounting adjustments in the prior year quarter. Improved gross margin overall was driven by changes in our consolidated business mix due to growth in our Retail segment and the contribution from Joybird, both of which carry a higher gross margin than our wholesale businesses and drove an increase of 60 basis points. Additionally, the Upholstery segment margin benefited due to raw material tailwinds and our ability to offset other increased costs. Our Retail segment margin improved slightly and our Casegoods segment gross margin declined, primarily due to higher ocean freight and the impact of higher tariff costs on certain occasional tables. Moving onto SG&A. GAAP and non-GAAP SG&A as a percent of sales increased 100 basis points in the fiscal 2020 second quarter compared to the prior year quarter, as non-GAAP adjustments in the comparative quarters roughly offset. Increases in SG&A as a percent of sales were primarily driven from changes in our consolidated business mix, which increased SG&A as a percent of sales by 80 basis points in the quarter, reflecting the growth of Retail and the addition of Joybird. Non-operating income for the quarter was $1.4 million, due almost entirely to a one-time benefit from pensions, which we excluded from our non-GAAP results. Recall on last year’s fourth quarter, we terminated our defined benefit pension plan settling all future obligations under the plan through a combination of lump sum payments to eligible participants who elected to receive them, and the transfer of any remaining benefit obligations to a highly rated insurance company. During the second quarter, the insurance company refunded $1.9 million, representing an overpayment of the expected benefit obligations that were settled at the time of the termination. The refund was recorded below the operating income line in our consolidated statement of income and was excluded from our non-GAAP results consistent with the treatment of the Q4 impact of this event. Our effective tax rate for the second quarter was 26.6%, compared with 22.9% in the prior year period. Absent discrete adjustments, the effective tax rate in the fiscal 2020 second quarter would have been 25.2% and 24.7% in the prior year period. Our effective tax rate varies from the 21% federal statutory rate, primarily due to our state taxes, and we continue to estimate our effective tax rate will be in the range of 25% to 26% for the full fiscal year. Turning to cash. Excuse me. We generated $34 million in cash from operating activities in the quarter. We ended the period with $120 million in cash, cash equivalents and restricted cash and $33 million in investments to enhance returns to cash. During the quarter, we invested $11 million in capital, primarily related to machinery and equipment and upgrades to our Dayton, Tennessee manufacturing facility. We also paid $6 million in dividends and spent $11 million purchasing 300,000 shares of stock in the open market under our existing authorized share repurchase program, which leaves 5.2 million shares of purchase availability under that authorization. Our capital allocation priorities remain to invest in the business to drive growth and then provide returns to shareholders with our dividends and discretionary share buybacks. We continue to expect capital expenditures for fiscal 2020 to be in the range of $50 million to $60 million, primarily related to plant upgrades and improvements to several of our retail stores. And finally, before turning the call back to Kurt, I want to again remind you of the several items for fiscal 2020 consistent with our callouts in the last quarterly call. We will continue with our non-GAAP presentation, excluding purchase accounting adjustments, as well as the changes related to our – the charges related to our recently announced supply chain optimization initiative. For acquisitions to date, adjustments continue to be anticipated in the range of $0.08 to $0.10 per share for fiscal 2020, spread roughly evenly across the quarters, plus any effect from revaluation of the contingent consideration liability for future earn-outs on Joybird, where the payout could range from $0 million to $65 million as discussed in previous quarters. Additionally, for our supply chain optimization initiative, we continue to expect charges to be in the range of $0.08 to $0.11 per diluted share, spread roughly evenly across the four quarters. As we work through the operational changes associated with this initiative, we do not anticipate any material operational benefits this fiscal, but expect to realize ongoing operational savings afforded $6 million pre-tax annually beginning in fiscal 2021, a portion of which we would expect to invest back into the business, and we do not expect any further impacts from the pension termination. Regarding mix, I would remind you that our change in consolidated sales mix may affect the seasonality of the consolidated results. With Joybird and the growth of our Retail segment, third quarter consolidated sales could outpace or be level with the fourth quarter, historically, our largest quarter. Regarding SG&A cost trends, we would again note the impact of the changes in our consolidated business mix, with Retail growing and the acquisition of Joybird. The mix impact for the full-year is expected to be an SG&A increase in the range of 100 to 150 basis points, the majority of which was realized in Q1 given the timing of the Arizona and Joybird acquisition. And finally, a reminder on the back-half of the year. Fiscal 2019 included a one-time $0.04 per share net benefit for changes to employee benefits. The combination of a $0.07 benefit in Q3 and a $0.03 charge in Q4. These items have not been adjusted out of our non-GAAP numbers. And now back to Kurt for his concluding remarks.
Kurt Darrow: Thank you, Melinda. We are encouraged about the results La-Z-Boy Incorporated continues to deliver. Our brand differentiates us in the competitive marketplace, supported by ongoing product innovation and excellent service to both dealers and the end consumer. As we head into the busiest selling season, I’m confident we are making the right strategic investments across the business to drive profitable growth and continue to provide returns to all stakeholders. We thank you for your interest in La-Z-Boy Incorporated. And I will turn the call over to Kathy to provide instructions for getting into the queue. Kathy?
Kathy Liebmann: Thank you, Kurt. Jess will begin the question-and-answer period now. Will you please review the instructions for getting into the queue to ask questions.
Operator: Yes. Ladies and gentlemen, the floor is now open for questions. [Operator Instructions] We’ll move first to John Baugh at Stifel.
John Baugh: Good morning, La-Z-Boy team. Thanks for taking my questions. Jumping right in, could you comment – I see in the Q, we’ve got a pretty good increase year-to-date in the stationary upholstery business and the meaningful decline – we have 3%, 3.5% decline in motion and there’s commentary around power and leather being soft. And if I recall correctly, your margins are pretty good on power and leather. So could you maybe discuss that assumption correct? And sort of what’s going on there do you think? And it is, I believe even more pronounced in the Retail segment, where stationary is strong, which is good, but we’d love to see motion flat or up? I’m wondering what you see in the marketplace is driving that? Thank you.
Kurt Darrow: That was all one question, John.
John Baugh: One question. I got more.
Kurt Darrow: Oh, yes. Okay. I just wanted to be sure. So, our mix over time changes back and forth to have all categories have equal strength all the time is difficult to do. Our sectional business in the Upholstery segment is being – is very strong right now. People are seeming to want the big groups with a deep seating in their rooms, where particularly they have TVs. And I think that’s more in favor right now than motion sofas. And we also – there’s a little more competition on motion sofas from some international players. But there’s nothing – we don’t see it right now as a long-term trend. What was lost this quarter in the motion business was gained in the Upholstery business dollar-wise. So we’re not alarmed at it. It’s just one of these things that ebb and flow when we’re going to be doing some enhancements and some new ideas to our motion business in April to address this but don’t see that it is anything significant. And the leather business in general in the industry has been affected by the tariffs more than the upholstery business, because a lot of leather motion sofas and stationary sofas are coming in from China to most every customer in America with at least half, if not the full tariff.
John Baugh: Great, thank you. And then maybe a question for Melinda. I know some of the costs from the supply chain changes are not being captured in the one-time restructuring-type thing. Is there – does that mean that – and I realize not all the $4 million to $6 million next year will flow to the bottom line, because you’ll invest it. But might the swing if you didn’t reinvest any of that be even greater, in other words, those transition costs that are being incurred in regular operating earnings are a drag in this number. Any sense of how much that is?
Melinda Whittington: Yes. No, you’re absolutely right. Now certainly, the drag in the quarter of some inefficiency of transition is nothing in New York City order of magnitude of the kind of savings we expect over the longer-term. But that certainly is a bit of a short-term headwind as we just work through the – as we work through the whole transition. We’ve called out throughout the year, even broadly, more broadly than the the Redlands transition, that while we’ve got a nice tailwind coming from raw material costs, a lot of our other input costs have continued to be a bit more challenging. And so I think we’re doing a pretty good job of continuing to offset those. And those are people costs, benefits costs, transportation costs, that across our business, are kind of daily focuses for us to be managing, and the Redlands transition just added incrementally to that in the quarter.
John Baugh: Okay, thanks. And my last question is, yes, go ahead.
Kurt Darrow: John, just a second. I’d just like to make a callout that the work our team did to idle a plant in California, move all the orders, hire new people to build the furniture and get the majority of it to our consumers at their promised time was a yeoman’s effort. And we didn’t have much disruption. We didn’t have long delays for our customers. And it was a real good work by everybody who got that done. We’re prepared now to sell the facility and move on.
John Baugh: Great. No, I realize there’s a lot of work behind the scenes there. Congrats on that. Just finally, maybe on Joybird. You mentioned the customer acquisition costs, I think, caused higher year-over-year loss. And while revenues grew, they were a 12% rate. I’m curious in your path to profit pre-accounting or acquisition accounting, what are the levers there? And I guess, the concern would be do you have to cut the customer acquisition spend? And if you do, does that slow that growth rate at all? Thank you.
Kurt Darrow: Great question. We have taken the last six to nine months to put together our integration plan of joining the two companies and utilizing each other’s strength. So we are now making the majority of their best sellers in our Dayton, Tennessee plant to provide quicker delivery and less transportation costs to the East Coast. We have those Joybird styles in all of our regional distribution centers that we use for retail. So for the first time Joybird customers can get product pretty quick, that is not custom. Number three, getting all of our supply contracts that La-Z-Boy has on similar items integrated into Joybird, so they can enjoy the savings, getting them some equipment to cut poly and do all that that has taken more time to get it integrated and to get the value of it by the time the product gets to the consumer. We think there’s still a combination of some tightening up of SG&A and realizing the savings that we haven’t enjoyed yet. And the combination of those two things can get us profitable without cutting back on customer acquisition.
John Baugh: Great. Thanks for the detail and good luck.
Kurt Darrow: Thank you, John.
Melinda Whittington: Thank you.
Operator: We’ll move next to Bobby Griffin at Raymond James.
Bobby Griffin: Good morning, buddy. Thank you for taking my questions.
Kurt Darrow: Good morning, Bobby.
Bobby Griffin: I first want to touch on the Upholstery segment, and particularly the non-La-Z-Boy branded area of that wholesale business. It looks like the quarter was at once again, where the La-Z-Boy branded stuff outperformed it. Maybe can you talk about what’s going on at the other 50% of that segment? Was that performance relatively in line with how it was in the first quarter? And is there any expanded thoughts that you can share with us of what’s going on there with the England subsidy in that area?
Kurt Darrow: Okay. So I’m a little confused that there’s two paths there. Are are you talking about our sales to – our sales in one piece here.
Bobby Griffin: Yes. Let me…
Kurt Darrow: ….the dealers non-store and then what are other companies within the Upholstery segment are doing?
Bobby Griffin: Yes. I mean, basically, I’m trying to connect the dots between the strong written business that we’re seeing across the whole La-Z-Boy Gallery network, your company-owned stores, as well as your independent licensees, to the 1% just total Upholstery growth that we’re seeing out of the Wholesale segment itself. And I guess, that’s implying that the network in the La-Z-Boy branded galleries are performing better than some of your non-branded part of that business?
Kurt Darrow: Yes. Okay, I’ll start with that. So we are pleased with the performance of our retail, both the whole network and our company-owned, the consistency for the last couple of years of their performance has been great to see. And I think, they embody everything that the brand has to offer and sets them apart. It’s hard to give you anything meaningful on the rest of our distribution. We have some 2,000 doors, where our product is sold from small dealers to large dealers. And some of them have a full array of the La-Z-Boy brand in their stores, other have just a portion. So we don’t see any pattern. But we do see the midsize and smaller dealers struggling a little bit for growth these days with their inability to market like larger customers, their inability to buy containers, things of that nature. But I can’t really, Bobby, point to a one item that would say, this is what we need to fix. I would also tell you that in most of our businesses in the second quarter, their written sales were above their delivered sales. And part of that was in the branded business with making the changeover with – from Redlands to Neosho. But I think that’s just the state of the industry. If you look at some of the other public companies that have been long-term players in the industry, a lot of their sales are not in the positive zone, which is, I think, just reflective of some of the sluggishness at various points in the home furnishing space.
Melinda Whittington: Bobby, I would just add one clarification, you were referring to branded and non-branded. Within our Upholstery business, the vast majority of that business is La-Z-Boy branded. About half of that is going through furniture galleries, of which, we own about a quarter of them. So we have La-Z-Boy branded business per se, but going through third parties, as Kurt was referring to. And then we also have – we have some other smaller that are non-branded business and they kind of are playing in that order, our strongest desire Retail than our furniture galleries, and then we’re seeing a little more struggle as we go to our La-Z-Boy brand, but uncompetitive floors and then out to the kind of non-branded business.
Bobby Griffin: Okay, that’s helpful.
Melinda Whittington: It’s performing more like the rest of the industry.
Bobby Griffin: Okay, that’s helpful. And I guess, what I was also trying to connect this is the two areas that you’re seeing a little bit of the weaker or struggles in verses your galleries, your own galleries. Has that materially changed? Is that or about the same as it was in the first quarter and the fourth quarter of last fiscal year?
Kurt Darrow: I don’t think there has been a material change. This isn’t the first quarter – the third quarter phenomena. This has been truly ever since kind of the tariff thing came on the horizon. There has been a little dampening down of growth for certain portions of our distribution.
Bobby Griffin: Okay, that’s helpful. And then lastly, for me on Joybird itself. Can you maybe talk about expectations for the year on full-year sales? I think last time we spoke at the end of the first quarter, we’re looking at $95 million to $100 million or so was the number you talked about on the call, I believe, and year-to-date, we’re tracking about $38 million or so sort of implies a pretty big ramp. Can you talk about how sales came in for the quarter? Were they a little weaker or better than you expected for Joybird? And just the pathway for that business to continue to accelerate?
Kurt Darrow: So let’s – I’ll try to give as many data points as I can. When we purchase Joybird a year ago, August, they were trending slightly above $50 million for a year. In our first six months, they did, I think, $38 million for the similar timeframe. And that is like a retail business that we also own, that is in the weaker half of the 12-month period, given our fiscal year. So we would expect a sales acceleration in the back-half of the year, and still are targeting that $90 million to 100 million dollar range for this year, if everything goes to our expectations. A lot could change and it would be – it wouldn’t necessarily be Joybird specific, it could be economy specific or something like that. But we still think the back-half is going to be better. We’ve got a lot of our integration issues behind us. We’ve got product available in more places than the first-half of the year. So we think that’s still a good target of the $90 million to $100 million.
Bobby Griffin: Okay. And then did the integration aspect of that limit some of the sales in the first-half, or is it more just the seasonality of that business that you’re referring to?
Kurt Darrow: Oh, I’m sure the integration of everything has caused some disruption. You don’t put two companies together that will run totally different for a long time and try to get the best out and make changes and we layout the plan and all those things, that doesn’t happen. But I don’t think we can lay a major portion of the sales mix. They didn’t have a very good written month in August and never were quite able to catch up. But since September now, all the way here through November, they’ve been on a stronger pace of written sales.
Melinda Whittington: And I think seasonally, you have to expect that Q1 is always going to be pretty light and they’ll pace as you move through the year.
Bobby Griffin: Okay. That’s been very helpful. I appreciate all the detail. Best of luck to the remaining part of your fiscal year.
Kurt Darrow: Thank you, Bobby.
Melinda Whittington: Thank you.
Operator: [Operator Instructions] We will go to Brad Thomas at KeyBanc Capital Markets.
Bradley Thomas: Hey, good morning, everybody.
Kurt Darrow: Good morning.
Melinda Whittington: Good morning.
Bradley Thomas: Wanted to follow-up on the Upholstery segment and the strong margin performance you’ve had in that segments in the first-half of the year. I was hoping you all could just talk about as we think about the next couple of quarters, any differences in the puts and takes as we think about profitability in the Upholstery segment?
Kurt Darrow: My comment on that, Brad, would be that almost a 11%, that’s one of the highest margins in the industry on manufacturing Upholstery. So we don’t take that for granted. But an excellent job from our supply chain team to achieve that. And I think we have – we said this before, our ability to improve above 11% is directly related to volume. If we can generate more volume and the capacity utilization is increased, so would be our profits. So right now, we have some tailwind with the raw material situation. And once our plan in Missouri gets all their staff trained and running at a rate where they don’t have to run as much over time, that could improve the situation. But if they make the same amount of units that they did the previous year, there’s probably not a lot of extra juice in the margin. If we get 10% more units or anything above probably 5%, without any other extraordinary things happening, you could possibly see a little bit increase in the margin.
Melinda Whittington: And one other headwind, I spoke to some of the other cost trends we’re looking at. But as we are investing in these plants, it’s not a huge number, but we will pick up a little more depreciation as we go forward with our investment in our two largest plants, where on the tail end of all of our work in Dayton, Tennessee, on our largest plant and just kicking off the work in Neosho, which between those two are 70% of the volume even a little bit more than that now of our total company. But we are making, as you know, significant capital investments there. So that will be a little bit of a non-cash headwind going forward.
Bradley Thomas: That’s helpful. And if I could ask a similar question on the Retail segment and thinking about its profitability over the next couple of quarters. Obviously, the trends have been good, this is the last two, but you’ve had the Arizona stores as a tailwind for you. If you can keep up this momentum in same-store sales, which hopefully, you can against some easier comparisons. Do you feel like you’re in a position, where we should continue to see profits in retail going higher in the next couple of quarters?
Kurt Darrow: So, again, as we said earlier, it’s all seasonal, Brad. They will do much better historically in the second-half of our fiscal years than they do in the first and that would be reflected in the comparables. But we – even this month so far in November, we haven’t seen any differential in the pace of our retail business. And while Arizona is a tremendous business for us, at the level of volume they’re at, to keep pace with the same-store sales growth as the rest of the organization is kind of difficult, because we’ve got more opportunities in some other markets, but we’ll be probably adding another store to Arizona here in the near-term and doing some other things. But Arizona has helped the profitability of the business and the size of the overall business, but they are not the main driver of same-store sales growth.
Bradley Thomas: Gotcha. That’s very helpful. Thank you so much.
Kurt Darrow: Thank you.
Operator: We’ll go next to Anthony Lebiedzinski at Sidoti & Company.
Anthony Lebiedzinski: Good morning, and thank you for taking the questions. So, just first, I just wanted to clarify with respect to Casegoods that you noted the supplier issue that you had. So just wanted to make sure, has that issue been totally resolved at this point?
Kurt Darrow: We believe it has Anthony. We’ve changed suppliers. And if you look historically at our Casegoods business over the last two or three years, this is the first real hiccup they’ve had. They’ve normally been steady and slow growth and doing a little better and double-digit margins. And I think this is an unusual situation and not a trend line that we think will continue.
Anthony Lebiedzinski: Okay. That’s good to hear. So as far as retail, you noted that traffic was up, which is unlike a lot of other retailers. So I just wanted to get a sense as to the average ticket trend, plus also penetration for your in-home design program?
Kurt Darrow: I’ll go in reverse order. The – excuse me, the penetration in our in-home and in-custom business is hovering in that low-30% and hasn’t had a meaningful change from that. We think over time, we can build it. But right now, it’s been a fairly static at a really high number. And our performance on all the metrics, traffic, conversion, average ticket, percentage of in-home, are all slightly trending up. It’s a combination of all those that have made the consistency of the 3% to 5% growth.
Anthony Lebiedzinski: Okay.
Kurt Darrow: One is not out-shadowing the other. We’re not getting so much more traffic that the other metrics have gone down. It’s a combination of those four things and the team is executing at a very high level.
Anthony Lebiedzinski: That’s good to hear. And also, as far as the back-half of the year, just wondering what’s your outlook is from – for promotions, whether it’s for Black Friday or later, it’s going to be Presidents’ Day weekend. Just overall, do you expect to do kind of more of the same types of promotions, or anything that you’re looking to do differently? Certainly, helpful to get some color on that? Thank you.
Kurt Darrow: So the furniture industry is a highly promotional business. And different retailers take different tactics on how they connect with the customer. We think where we’re positioned our continued investment in our marketing campaign with Kristen. We think our local media that all of our dealers and our own stores do. We think putting some strong values out in our marketing proposition that draws customers into the stores is good. But I mean, when you start running – and we don’t do this, but the comparison, when you start running 50% off in free TVs and we pay the tax and all that, I don’t know how much farther the industry in general can go to try to attract more customers to come in. It’s highly competitive. It’s highly promotional. Everybody’s got to find the lane they want to swim in. We think we found our niche, continuing to work. But we won’t – you won’t see anything dramatically different on how we go to market.
Anthony Lebiedzinski: Got it. Okay. Well, thank you so much and best of luck.
Kurt Darrow: Thank you.
Melinda Whittington: Thank you.
Operator: With no other questions holding, I’ll turn the conference back to management for any additional or closing comments.
Kathy Liebmann: Thank you, everyone, for your interest in La-Z-Boy Incorporated. We certainly appreciate your time this morning. Should you have further questions, please give me a call. And in the meantime, enjoy the Thanksgiving holiday. Bye-bye.
Operator: Ladies and gentlemen, that will conclude today’s call. We thank you for your participation. You may disconnect at this time, and have a great day.